Operator: Good afternoon, everyone. Now we'd like to start the earnings call by SCREEN Holdings for the second quarter fiscal year 2026. And let me introduce you today's speakers. So we have Masato Goto, Representative Director, Member of the Board, President, Chief Executive Officer, this is Goto. And Yoichi Kondo, Director, Member of the Board, Executive Vice President, Chief Financial Officer. And in addition to CEO and CFO, we have three executive members: Manabu Ishimura, Managing Executive Officer, this is Ishimura. And Akihiko Miyagawa, Senior Executive Officer, this is Miyagawa. And Chiho Otobe, Executive Officer, this is Otobe. Thank you very much for this opportunity. Now, we would invite Vice President Kondo to give us the presentation on consolidated business results and forecast. Mr. Kondo, microphone is yours.
?????: Thank you very much. Let me give you the consolidated business results and forecast. First, this is the outline of the consolidated earnings for the first half. Net sales, JPY 274.2 billion. operating income, JPY 46.4 billion, and operating margin at 16.9%. And year-on-year, the sales and profits both decreased. And SPE, sales and profits both fell year-on-year. And some of the projects’ revenue recognition was shifted to the second half. And this is the -- this is a decrease from the outlook in July. So as for the full year forecast, we haven't changed it yet. And as for FT, sales and profits rose significantly year-on-year because of the strong display market, so the sales of OLED equipment increased. And on the balance sheet, the equity ratio is 64.4% has been stable. And this is the details of the consolidated earnings. So the net sales, JPY 274.2 billion; operating income, JPY 46.4 billion, OP margin at 16.9%, ordinary income, JPY 46.8 billion, net income, JPY 31.8 billion. And this is the composition of group sales by destination. Japan, 16%; Taiwan, 25%, China, 40%; Korea, 5%; Asia, other, 3%; North America, 8%; Europe, 4%. And composition of group sales by segment: Other, 0.4%; PE, 1.8%; FT, 9.8%; GA, 9.3%; SPE, 78.8%. And this is the consolidated earnings by segment. SPE in the first half, JPY 218.5 billion, and operating income was JPY 48.6 billion, OP margin, 22.3%. That is the sales and profit both fell because sales -- part of the sales shifted to second half. And sales for DRAM and flash memory rose, the ratio of sales to China declined. Next is GA sales, JPY 25.8 billion, OP income, JPY 1.2 billion; OP margin, 4.7%. Sales grew while profits fell. That is because of the impact of U.S. tariff and FXs. FT, net sales, JPY 23.5 billion; OP income, JPY 3.9 billion; OP margin, 16.9% sales and profits both grew. [indiscernible] sales increased, and we could achieve the significant improvement in the OP margin. And PE, JPY 5.5 billion in sales, minus JPY 0.2 billion in OP income as a loss. And sales and profits both fell, expecting capital investment to recover in the second half and onward. And this is the financial standing, and this is the balance sheet on a consolidated basis. And total asset is [indiscernible] billion, so it increased and equity ratio now stands at 64.4%. So it's been quite stable. And this is the cash flow on a consolidated basis. In the second quarter, operating cash flow amounted to JPY 23.8 billion, and we've spent JPY 2.5 billion for the investment. So we have the finance cash flow of the JPY 21.2 billion. And second -- first half, that operating cash flow is JPY 30.8 billion and investment cash flow was minus JPY 12.2 billion and financing cash JPY 18.5 billion and financing cash flow was minus JPY 29.9 billion. That is used for the dividend payment and investment. Next is R&D expenses, CapEx and depreciation, amortization. So R&D is JPY 38 billion; CapEx, JPY 28 billion; depreciation and amortization, JPY 15 billion. So there's no change from the April figures. Mainly with SPE, the R&D expenses and personnel expenses are in line with our expectation. And CapEx for the R&D, manufacturing, IT all landed at expected range. And this is the analysis of operating income growth. So against the last year's first half, we made a comparison against JPY 58.2 billion because of the sales capacity utilization and there's some shift to the second half and also the profitability. There was a big impact from the shift to the second half, and there was a minus JPY 9.5 billion impact on the fixed cost. So it stands at JPY 46.4 billion. And there's a contribution by FT and GA, but there is a shift in SPE and profitability, a decline in GA. And fixed cost increased due to the growth investment mainly attributable to SPE, including R&D expenses, personnel expenses, depreciation, amortization and exchange rate mainly impacted negatively on GA. And this is the business forecast. So on the right side, you can find the full year forecast. So net sales, JPY 621 billion; OP income, JPY 170 billion; OP margin, JPY 18.8 billion; and ordinary income, JPY 170 billion; and net income, 88%, no change from the original forecast. SPE, JPY 102 billion and OP JPY 121 billion and 2.4% of OP margin, GA, JPY 53 billion, JPY 2.5 billion of OP income; 4.7% of margin, no change. And FT now forecast for net sales, the change to the JPY 40 billion, and this is because of the actual performance, the change was made. And PE, no change. Net sales, JPY 50 billion and OP income plus JPY 1 billion. FT increase is adjusted. So there's no change in the total figure. This is the current situation we have. And this analysis operating income loss forecast. So the -- this is the actual against the forecast. So last year, JPY 135.6 billion, and there was a plus JPY 2 billion from the sales and capacity utilization, but there was an impact from the FX and inventory. So profitability is an improvement of the JPY 2 billion and the fixed cost is JPY 19.5 billion, same figure from the previous report. And there's a minus JPY 3 billion impact from the exchange rate. So when you see the actual situation in the first half, we have slightly changed the figures for the exchange rate. And so the expectation is under JPY 17 billion. On the right side, expect to contribution by FTGA and PE for the sales and capacity. And as for profitability, we have the FT and SPE contribution. And fixed cost increase expected due to the growth investment, mainly in SPE, as I mentioned earlier. And exchange rates, as you can find, these are the expected exchange rates. So we maintain the forecast and interim dividend will be as per plan JPY 123 and the year-end dividend will be JPY 157, so total will be JPY 280. So we don't change this expectation. So that's all from myself.
Operator: Thank you very much, Mr. Kondo. Now we want to move on to the business environment and outlook from President, Mr. Goto.
Masato Goto: So now I'm going to talk about business environment and outlook. So fiscal year 2026 March. This is the full year outlook. SPE, the leading-edge node foundries and memory-related sales centered on HBM remains solid, taking advantage on AI-related capital investments. So this is the basic situation of SPE. And FT segment, as we mentioned earlier, we are seeing good performance in sales and profits expected, supported by active display investment for OLED and LCD. And advanced packaging, sales and projects for panel-level equipment, including panel coaters and direct imaging systems and wafer-level equipment for cleaning are progressing as planned. And we are making the steady implementation of growth investment, centering around advanced packaging. So for this, in next midterm plan, we are going to make a further growth about this. This is SPE business overview. The market trend and outlook. WFE, the calendar year 2025, we are expecting low single-digit growth. So around JPY 110 billion or above. In calendar year '26, continued growth is anticipated, primarily driven by AI-related demand for leading-edge node foundries and memory. So maybe second half next year, we are going to see some movement. And the investment by application. Foundry, AI-related demand is again significantly driving investment, not only in Taiwan, but other regions, AI-related demand for cutting-edge device is progressing. And logic, so capital investment logic. The client remain a cautious approach towards capital investment. And memory, so spot price is now going up. And DRAM is expected to sustain solid investment and also NAND is also very strong. And as to DRAM, there are new areas such as OpenAI, which is driving demand. So we will see continuous progress on this investment. And NAND investment will mainly focus on increasing multilayering and image devices. The CapEx for image devices, looking at market condition, we are going to make the decision cautiously. For now, we need to still examine further investment. In power device and others, industrial or automotive demand remains weak, particularly in China and recovery is expected from calendar year '26 and onward. And the advanced packaging, the further capital investment are anticipated driven by greater sophistication in back-end processes. So China market, the investments by existing foundries remain solid. While emerging chip manufacturers, they are gradually entering into the evaluation phase. So looking at this evaluation progress, we will consider how we will make investment. So for China market, probably the existing foundry is the main area where we see investment. The SPE, this is the sales by application and for sales. As you can find, in Q-on-Q, sales to DRAM increased. Year-on-year, sales to DRAM and foundries increased. In Foundry segment, in second quarter is 48% and logic is 4% and flash is the same, 4%; and DRAM is 80%. And others, power device is 1%, other is 4%. Post-sales is 21%. That's the trend or breakdown of the second quarter. And SPE, this is sales by destination. So Japan is 14% and Taiwan is 30%. It's slightly coming down from 1Q first quarter, and China is 38% and Korea is 5%. And Asia, other, and Oceania is 3%. North America is 7% and Europe is 4%. So Q-on-Q, sales to China and Japan rose. And year-on-year, sales to Taiwan and Japan increased. That's the situation of now. So this CSP conversion of sales by application forecast. So post-sales, and you can find this year-on-year forecast. Out of 502, foundry account for 45%, logic 7%; and flash 4%; DRAM 16%; and imaging device 2%; power device 2% and other 5%; and post-sales 18%. That's the breakdown of the forecast. So for the first half, the DRAM flash increased slightly. And against forecast of second half versus first half, DRAM, logic and other expected to increase. In year-on-year, DRAM expected to increase. So here's SPE composition of sales by destination. And here's the forecast. The sales is 502 and Japan account for 11% and Taiwan 24%; China 43%; and Korea 6%; and Asia-other, Oceania 6%; North America 7%; and Europe 3%. So compared to last year, the Taiwan increased significantly. That's the trend of year-on-year. And against first half, sales to China are expected to increase in second half. And against full year of last year, sales to Taiwan expected to increase. So here's the GA segment sales trend and forecast. So the recurring business remains stable. So this has about half. And while affected by U.S. tariff policies, efforts are underway to enhance profitability through operational efficiency and price pass-through. This is FT sales trend and forecast. So compared to last year, we saw significant improvement. The sales is JPY 46 billion. And about half is coming from OLED new investment and 25% is LCD. This is conventional and the remaining is post sales and other. So this situation is going to continue -- actually continue in the second half, and it's going to continue next year. This is the PE sales trends and forecast. So for PE segment, market itself still takes time to recover. And sales is JPY 15 billion expected and of which 45% is post-sales and equipment and others accounts for another 55%. So the market sees a sign of recovery, but we have to wait until next year and beyond to see the actual contribution. So we'll continue to see the recovery of sales with cost of sales. And this is the initiatives related to ESG. So about the social contribution, we had the revision of the partners building declaration. So following the change of the policy of the small and medium enterprise agency, the regulation previously issued by Holdings on behalf of the entire group has been revised to separate declarations for Holdings and each business entity. So for SPE, GA, FT and PE for each segment, we will have the declaration of the partnership. Next is about governance. So we conducted a large-scale BCP drill. So the largest scale natural disaster may occur. So in anticipation of such, this drill was conducted. And this time, with the simulation of the megaquake of the Nankai Trough occurred, we had a drill simulating initial emergency actions immediately after the disaster and a total of 260 participants exercised in this drill, including the emergency infrastructure, including the communication efforts was confirmed and after a certain period after the disaster, how to continue the business was exercised with 260 participants. And we will continue to have this kind of drill, so that we can be well prepared against disasters. And these are the SCREEN Group news. And you may have heard these news through the news releases. As you can see here, we have the releases of these news. And I'd like to elaborate one of them. First is about CapEx. So this is the one about which we released the news release. That is about the acquisition of an R&D business in wafer bonding from Nikon. And it was agreed upon a contract was signed on September 30. And this is a strategic investment we make. So we position advanced packaging as a focus field. So in addition to the sales of the direct imaging systems and coater/dryer systems, we are working on development and rollout of the hybrid bonding and low-temperature wafer bonding. This is the purpose of this acquisition. And with this acquisition, we can combine Nikon's know-how about the precision bonding with our technology, so that we can establish our presence in the field of the advanced packaging, which is a focus in the midterm management plan. And about the overview of the acquisition, you can find the information in the material. And for the advanced packaging, seeking more than more, as you can find here, the bonding is very important. We're getting more and more important. And the impact of the heat has to be minimized when we have the bonding. So we have the copper-copper low-temperature hybrid bonding being developed. So our technology and Nikon's bonding technology will be combined so that we can make a new presence in this market. And we have been collaborating. We have been working on the hybrid bonding machine, and we will make the further development of this, so that we can have a greater presence in this market. Next topic. So we have the variety of collaboration with IBM. And this time, we have the agreement for next-generation EUV lithography cleaning process development is the additional agreement. So 2 nanometer beyond mature process requires the High-NA and related miniature cleaning technology is required. So in collaboration with IBM, we will establish this process. So for the next-generation device, cleaning process is essential, and we will work together with IBM to establish or to develop the necessary cleaning process. And this is a contract we concluded. And next topic, SCREEN Holdings was awarded 2025 Porter prize. And Hitotsubashi Business School post this Porter prize, and we applied for it and our product process and innovation related management were acknowledged. And we were awarded Porter Prize this time. And before having this articulation, various initiatives we took and uniqueness and strategic points of these were highly appreciated. That's the reason why we could have this price. And on December 2, the prize awarding ceremony will be held. So this is an announcement we made. And we have other topics, but as for the others, please refer to the material. That's all from me.
Operator: Thank you very much. Now I would like to go into the Q&A session. So I'd like to invite Ms. Otobe.
Chiho Otobe: The announcement from IR, annual report 2025 was issued at the end of September. So it's not about the short-term view, but the mid- to long-term strategy is now compiled in this annual report under the new management structure launched in June 2025, and you can find the actual words by the management team. Next page, please. And every time after the earnings call, we have the small group meetings to be hosted by SCREEN. And Japanese one is on November 21 and English one is on November 19. So please utilize these occasions. And lastly, about the IR days. On December 16, Tuesday, starting at 3:30, on-site registration starts from 3:00. And at our Monzen-Nakacho site in Tokyo, we are going to have this IR Day. And we also provide the hybrid-type meetings. So when you make yourself available, please come to our Tokyo office, but you can also attend this meeting online. And we're going to talk about our growth strategy. And we will have the Monzen-Nakacho President as a speaker, and we can talk about the SPE technologies, too. So please utilize this opportunity. So I want to have your kind attendance to this event. That's all from me.
Operator: Now I'd like to go into Q&A session. From Morgan Stanley, Mr. Wadaki.
Tetsuya Wadaki: So this is Wadaki from Morgan Stanley MUFG. I have one question to you. So WFE forecast on '26, you are saying the low single digit. But at this moment, what's the situation? Maybe compared to 3 months ago, is it improving or?
Masato Goto: Yes, I'm Goto. I'm going to respond. For our outlook, there's no major change from previous expectation. So next year -- growth next year will be low single digit. This is our assumption. So maybe memory and DRAM still, the capacity is not sufficient. And foundry utilization is now getting higher. So we think it's getting better. But still, even with these kind of changes, you don't change your forecast, right? The next year growth, even if it happens, maybe second half of next year, we will see the effect. So if we look at -- consider next year, the growth will be maybe like low to mid-single digit. After like, next year, there is a possibility to go up. But for next fiscal year, we don't think there will be a major change from previous forecast.
Tetsuya Wadaki: My second question is, so first half, there was push out of the sales. So you couldn't achieve the forecast. So this is by destination. So China is the reason. That's what I can understand. But this China second half, is it going to be postponed to next fiscal year? I feel some like no concern. Is there any possibility that this is postponed to next fiscal year?
Masato Goto: Well, as to possibility, of course, it's not 0. However, like second half, we are trying to achieve the sales this second half. So for year-on-year, we don't change the forecast, and we are now making progress. And in local, we are confident that we can make the sales by the end of this fiscal year. Maybe last year, you said probability of second quarter is still high, and now it's happening like this. So maybe the situation is different for each customer, but do you have any concrete situation like installation is already ready or you have the commitment from top executive of the customer. We are under negotiation right now, and we don't think it's bad. That's the situation. So we cannot say we are sure at this moment. So we are feeling a great sense of the confidence while contacting with our customer.
Operator: Next, from Goldman Sachs, Mr. Nakamura, please.
Shuhei Nakamura: My first question is about the profitability of SPE. So the sales was pushed out to the second half, but I want to know about this low profitability, operating profit in the second quarter. So SPE sales hasn't changed from the first quarter, but the profitability decreased. What is the background of this? And in the second half, 25% or more is planned. And would you elaborate on this?
Masato Goto: So the first half will be margin seems a bit low because the product mix and customer mix impacted. And in the second half, as you mentioned, 25% is a target, and that is better than the first half. And the activity to improve the profitability is now taking place. So even with a change in the product mix, we may not be -- we will secure the profit better than in the past.
Shuhei Nakamura: My second question about the sales of the sales outlook for this fiscal year of SPE. So total expectation hasn't changed. But by the destination, I think you -- a little bit changed the composition. So could you explain these changes you made? Especially the sales to China, originally, it was 40%, but it has declined. So I think there were some projects pushed out to the second half. So could you elaborate from where you have the inquiries? And for the next fiscal year, what percentage of the sales do you expect from China? Do you see any -- do you have any outlook?
Masato Goto: So China sales, the major cause is the -- some projects pushed out to the second half. That's why we see the big sales in second half. And other sales at this moment, we have good visibility about the second half sales composition. So based on that, we will review the sales and the production plan, and that's how we come up with these figures. And about next fiscal year, China sales proportion will be -- slightly decline to a little bit over 30%. So as we have been saying, the emerging customers in China will go back to the normal situation. And then our sales to China will go back to the 30% level. So please understand in that way.
Shuhei Nakamura: So the sales to China outlook was a little bit slightly increased. What do you think of this?
Masato Goto: So as was mentioned earlier, now we are reviewing the card inquiry we received and the -- some sales shifted to the second half. And based on that, we came up with these figures. So the inquiry is by the major foundry, the customers with which we have a long relationship, and we now expect the sales from that customer in the second half of this fiscal year.
Operator: Next is Shimamoto San from Okasan.
Shimamoto Takashi: I am Shimamoto from Okasan Securities. WFE 2026, I want to understand the forecast better. In previous discussion, the forecast for next year is the maybe mid-single digit, maybe around 5%. Is it correct? And in addition, the application foundry or memory, maybe you can separate DRAM and NAND and logic. Can you just give us the breakdown for each application?
Masato Goto: So as to numbers, it's the mid-single digit. This is our expectation. So the trend by application, as they said, the cutting-edge 2-nano or 3-nano CapEx will continue next -- like second half next year. This is what we are expecting. So foundry portion is going to lead. And also memory and DRAM HBM will be the main investment target. This is what we are expecting for next year. So memory, DRAM is going to lead the demand.
Shimamoto Takashi: So foundry and DRAM, which is going to grow fast. Can you comment on that?
Masato Goto: It's not easy. Probably they will grow at the same rate. That's our expectation.
Shimamoto Takashi: So my second question is Nikon business, the impact for your result, if you are expecting any for this year or next year -- fiscal year?
Masato Goto: Yes. This business transfer impact, so this is within our strategic investment budget. So there is no major impact for this fiscal year or next fiscal year.
Chiho Otobe: This is Otobe speaking. I want to just add on to that. What Goto said is true. And this fiscal year, JPY 3 billion transfer price, that's what we are expecting. And it is -- it's going to take maybe a couple of years until launch. So maybe JPY 5 billion to JPY 6 billion R&D investment is expected. This budget is already included in the growth strategy in midterm plan, as Mr. Goto explained.
Shimamoto Takashi: So it's already included in the -- so it's not going to be addition?
Chiho Otobe: That's correct. That's correct.
Operator: Now let me invite Mr. Yoshida from CLSA Securities.
Yu Yoshida: This is Yoshida. So second half SPE sales, so in the third and the fourth quarter, when we divide the sales expectation, how do you see them? And WFE next year, you have an image that it will continue to recover into the second half. And from this fiscal year to second half to the first half of next year, how do you see the situation?
Masato Goto: So let me have the image of the time line. So as for the sales for this fiscal year, the fourth quarter's one will be greater than the third quarter. So the sales when you compare the third and the fourth quarter, the one in the fourth quarter will be greater. And as for the next fiscal year, as you mentioned, in the first half of next fiscal year, we expect -- as we did for today and this year, [indiscernible], but the exact investment plan will be carried out in the second half. So we expect the recovery -- full recovery in the second half of next year. In that sense, so competitors count the sales when they ship the product, but you count the sales in the installation. So it's a kind of difference of 1 quarter. So when we complete the installation, we count the sales. So from the timing of the shipment to the installation, there's a kind of time lag. So compared to the other companies who count the sales at the time of the shipment, the timing of the counting sales will be a bit different.
Yu Yoshida: My second question is about the IR Day and in which are you going to talk about what you want to be in 10 years from now? And what other things are you going to talk about on the occasion of IR Day in December?
Masato Goto: So if we disclose everything, I cannot give you the good motivation to come. So please come to this event. If you cannot make us available physically, you can use online system. So you can hear from us about what we want to achieve in 10 years from now. So what would be the focus areas for us and what would be the focus technologies we should have. And we'd like to talk about these as much as possible on this occasion. So please kindly make yourself available to come to this event and ask questions on that occasion. So at this moment, I'm sorry, we cannot talk about the details of the topics on IR Day. Thank you. So I'm going to attend this meeting. Thank you.
Operator: So Hirakawa-San from BofA. Would you please?
Mikio Hirakawa: I'm Hirakawa from BofA. My first question is about memory. The market is now recovering and maybe second half of next year, you can have some expectation -- good expectation. But cutting-edge logic, so now we are seeing only one strong giant, but surrounding company are also seeing some movement. So when you are making negotiation compared to 3 months ago, is there any difference or more motivation for investment or appetite for investment you see better compared to 3 months ago?
Masato Goto: The foundry leading the cutting edge, you are familiar, I believe. But other than this company, there are some foundries, which are doing the Tesla project or the American large logic maker, they have been struggling. However, now they are trying to start it to recover. So market overall is getting more-stronger. So not only Taiwan, but as it states here, the North America has also become another strong point -- stronghold of the logic manufacturing. So from next -- second half next year, we are expecting good recovery.
Mikio Hirakawa: So as a follow-up, are you receiving any inquiry already?
Masato Goto: We cannot talk concretely at this moment. However, as a trend, we are seeing that kind of trend already.
Mikio Hirakawa: My second question is maybe due to my ignorance. Within your presentation, you are now changing the price of SPE. What do you mean by this?
Masato Goto: So we are increasing the cost. So we are now trying to pass on to the price to customer. This is the effort that we have been making. And now this is getting fruit. So now we are seeing the improvement of the SPE profit margin towards second half.
Mikio Hirakawa: So this passing on to the price, if cost increase 100, so how much can you recover? So until second half of this year, how far can you recover out of 100 of the cost increase that you have already experienced?
Masato Goto: So as you know, the raw material cost increased by 25% for the last 3 years. This is the consensus of the society or the industry. And all of this 25%, we hope we can pass on to our equipment plants, but we cannot do that. So at least half we want to recover. And in order to do that, we are making a lot of projects. So now we are approaching to our target. This is what I want to share.
Operator: Next from Jefferies Securities, Mr. Nakanomyo, please.
Masahiro Nakanomyo: This is Nakanomyo from Jefferies. Can you hear me?
Operator: Yes, we can. [Operator Instructions].
Masahiro Nakanomyo: And I have one question, and let me confirm this point. So next year, WFE will achieve the mid-single-digit growth. That's what you explained. And when we see China alone, what is the outlook?
Masato Goto: So China market itself will grow by the same level for this fiscal year or slightly better. That's how we expect.
Masahiro Nakanomyo: So for FY '25, how do you see the China market?
Masato Goto: So FY '25 China market, so it's been flat. So compared to the previous year, it's been flat. So when I see the sales, you review the figures. And so maybe there's a difference between dollar and yen terms, but it dropped by about 5%.
Masahiro Nakanomyo: And the sales of next year sales in China will be flat like the development of the market itself?
Masato Goto: So as I mentioned earlier, next year's sales, China's proportion will be about higher than 30s or close to 40%. So compared to this fiscal year, proportion to be a little bit smaller, but absolute value will not change so much.
Masahiro Nakanomyo: The reason why I ask this is because in our case, as you explained, you have the slower investment by the emerging customers. So do you expect these emerging customers will begin to move in next fiscal year so that you can expect the stronger sales in China in next fiscal year?
Masato Goto: So as for the emerging customers, we do not plan ourselves with a dependence on these emerging customers. So emerging and existing customers in China, we took the good balance. So if the emerging customers make the bigger investment than we expect, we could have the stronger sales than expected. But next fiscal year, following this fiscal year, we expect the China market will be flat. This is the current situation.
Operator: Shibano-San from Citigroup.
Masahiro Shibano: I am Shibano from Citigroup Securities. SPE per destination, I want to make confirmation and the expectation for next year.
Masato Goto: So Japan SPE, the assumption for second half, it's like significantly reduced, and I want to know the reason.
Masahiro Shibano: And Nakamura-San asked a question about Chinese sales. Compared to 3 months ago, there is -- you are seeing some increase for logic and foundry, is it correct that it's increasing for logic and foundry? And maybe JPY 30 billion delay from first half, is it from first company, mostly from one company or maybe from a couple of companies?
Masato Goto: So first of all, this Chinese sales delay, it's not easy to disclose in detail. I think you may know some customer is now delaying. The difference between first and second half is due to that. This is what you can use for calculation to understand the impact. And Japanese customer, some Japanese customer like image Element or legacy node investment it's now slow and it's been down. That's the situation of now. The Taiwanese customer in Kyushu, we count as Japanese destination. So in total, the kind of product mix we are now having.
Masahiro Shibano: Understood. Very clear. So next fiscal year, WFE is mid-single digit. So China portion is drastically dropping from 40-some percent to 30-some percent. So on a consolidated basis, the sales and profit increase can be expected? Or maybe if you look at like next fiscal year, single, it's not easy. Can you share your feeling right now?
Masato Goto: Well, we have been working on to improve profitability. And of course, China we have -- if we see more profitable customer, we can see the increase. However, we are not relying heavily on that, and we have been working on the improvement in other areas, and we are now seeing the fruit. So portion, even if the portion of China drops that much, we are confident that we can secure profit. So the midterm plan that we have committed, we are confident to clear, and we are preparing for next midterm plan already. So we don't think we see drastic decrease due to this market trend of China.
Operator: It seems there is no other person with questions. Let us close the Q&A session now. And this concludes the earnings call by the SCREEN Holdings for the second quarter of the year ending in March 2026. And thank you very much for your participation despite your busy schedule.